Operator: Good day, and thank you for standing by. Welcome to the InterDigital Third Quarter 2023 Earnings Call. At this time, all participants are in the listen-only mode. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions]. Please be advised that today's conference is being recorded.  I would now like to hand the conference over to your speaker today, Raiford Garrabrant. Please go ahead. 
Raiford Garrabrant : Good morning to everyone, and welcome to InterDigital's third quarter 2023 earnings conference call. I am Raiford Garrabrant, Head of Investor Relations for InterDigital. With me on today's call are Liren Chen, our President and CEO, and Rich Brezski, our CFO.  Consistent with last quarter's call, we will offer some highlights about this quarter and the company, and then open the call up for questions. Before we begin our remarks, I need to remind you that in this call we will make forward-looking statements regarding our current beliefs, plans, and expectations, which are not guarantees of future performance and are made only as of the date hereof.  Forward-looking statements are subject to risks and uncertainties that could cause actual results and events to differ materially from results and events contemplated by such forward-looking statements. These risks and uncertainties include those described in the Risk Factors sections of our 2022 Annual Report on Form 10-K and in our other SEC filings.  In addition, today's presentation may contain references to non-GAAP financial measures. Reconciliations of these non-GAAP financial measures to the most directly comparable GAAP financial measures are included in our financial metrics tracker, which is available on the Investor Relations section of our website.  With that taken care of, I will turn the call over to Liren. 
Liren Chen: Thank you, Raiford, and good morning everyone. Thanks for joining us today. This was another very strong quarter for our company, supported by outstanding execution across all aspects of our business. We have signed two new license agreements that build on our strong base of recurring revenue, expanded our industry leadership, had record-setting pace from our inventors in expanding our innovation pipeline, and received acknowledgement of our 5G patent portfolio leadership by a leading third-party report.  I'll start with a few highlights from our financial result. Revenue for the quarter was $140 million, up 22% year-over-year. Our smartphone licensing revenue was up 19% year-over-year, and our CE and IoT licensing revenue was up 30% year-over-year.  Our net income was almost $48 million, up 116% year-over-year. Our adoption EBITDA was about $84 million, an increase of 48% year-over-year. I'll let Rich discuss more details in his section.  These strong financial results demonstrate the continual momentum we have created to grow our smartphone licensing program and our CE and IoT program, and demonstrate how our technologies are more important than ever, to a growing number of increasingly connected industries.  In late September, we signed a new multi-year royalty barring license with Lenovo, covering our HEVC video compression technology. Lenovo incorporates HEVC video compression in both smartphones and consumer electronic devices, such as PCs.  Under this new agreement, we received a catch-up payment for the past use of our technologies and recurring revenue going forward for both our smartphone licensing and our CE and IoT licensing programs. The latest agreement has brought our related HEVC litigation with Lenovo to an end, and we remain committed to resolve the rest of our licensing disputes with them.  Staying on the licensing front, in Q3 we also signed a new license agreement with Humax to cover the company's set-top boxes. Together with the Lenovo HEVC agreement, this is another validation of our video portfolio as one of the largest and one of the highest quality in key technologies, such as HEVC, as well as the newer VVC video codecs.  These technologies are applicable to smartphones, CE and other IoT devices, and looking forward to what we see as our large Greenfield opportunity to license video streaming and cloud services.  Adding to our momentum, we recently became a founding member of Avanci 5G automobile patent licensing platform, as we look to build up the success of related 4G patent pool. In the third quarter, the platform licensed both Mercedes-Benz and BMW for 5G. Due to the increased value of 5G to automobile manufacturers, the 5G royalty rates are roughly twice the original 4G rates. We believe our revenue from the connected cars will grow with increasing 5G adoption over time.  We continue to make strong progress with our smartphone program. In our Samsung arbitration, based on the latest case schedule, the hearing date is set for summer of next year, and we are on track to receive our final determination towards the end of 2024. As a reminder, Samsung has already agreed to take a license to our portfolio starting January 1of 2023, with the final terms of the license due to be determined through arbitration.  As we have said many times before, the most valuable assets for our company are our people. We have some of the world's best innovators in the development of key wireless and video standards and other technologies. Recently, our leadership in cellular space was highlighted by the election of our Senior Wireless Standard Engineer, Diana Pani, to chair the RAN2 working group within 3GPP. The cellular wireless standard body responsible for 5G and future 6G development.  The RAN2 chair is one of the most critical leadership positions in 3GPP. In her election, Diana received broad support from more than 200 companies across the industry and are lying in digital status as a strong leader in cellular technologies.  We also take great pride that Diana is the first woman to be elected to the post as a critical point in 5G evolution with the introduction of 5G Advanced. Her role within 3GPP is one more than 100 leadership positions that our engineer hold across multiple standard development organization for wireless and video technologies.  In Q3, we also achieved an important milestone with our patent portfolio now exceeding 30,000 granted patents and pending applications. It was also our highest quarter ever for new invention findings, and we are on track for a record year for new invention creation.  The strength of our portfolio was recently confirmed by a new analysis from LexisNexis. This analysis, which measures both the quality and the quantity of 5G portfolios from more than 130 companies, recognizes InterDigital as having one of the top five 5G patent portfolios in the world, ranking as the head of multiple well-known innovators in the cellular space. This confirms our belief that we are in an excellent position to realizing further value from our cellular assets at a time when we believe 5G Advanced will drive new use cases for our innovation.  Recently, we have announced partnership with University in India and Spain to explore research in technologies that could enable future 6G wireless network. This is another example of the kind of early stage research we do and our efforts to enable broader ecosystem in the wireless space.  As I look at our portfolio and our innovation pipeline in the wireless space, we are ideally positioned between our ongoing focus on 5G and our long-term research in fundamental technology for 6G and beyond.  In summary, we deliver excellent performance across our business in the third quarter and continue to build momentum to position the business for long-term growth.  With that, I'll hand you over to Rich who talks with the numbers in more detail. 
Rich Brezski : Thanks, Liren. I'm excited to report that in Q3, we delivered another excellent performance with revenue, diluted earnings per share, and adjusted EBITDA that were all well above the high end of our guidance range. This is primarily the result of the largest standalone HEVC license we've ever signed, which drove upside to both recurring and catch-up revenue. These results support our long-term objective of delivering consistent revenue growth combined with strong margins.  Total revenue increased 22% year-over-year, highlighted by continued double-digit growth and recurring revenue for CE and IoT. Year-to-date, recurring revenue for CE and IoT is up 17% and demonstrates the multiple growth vectors of our business.  As Liren mentioned, the HEVC license covers both smartphones and PCs. We have recognized $145 million of revenue from Lenovo over the first three quarters of this year with over $40 million coming in Q3, including a significant catch-up for prior infringement. The recurring contribution from Lenovo pushed our Q3 annualized recurring revenue from CE and IoT to $62 million per year. As Liren mentioned, this license demonstrates the quality of our HEVC video compression technology, its relevance for devices beyond smartphones, and looking forward, highlights what we believe is a Greenfield opportunity to license video streaming and cloud services.  Cash flow was extremely strong in Q3 with cash flow from operations and free cash flow, both in excess of $300 million. As we've noted in the past, due to the timing of customer payments, our free cash flow can fluctuate quarter-to-quarter, which is why we also publish adjusted EBITDA. Our adjusted EBITDA for the quarter of $83 million increased 48% year-over-year, while our adjusted EBITDA margin increased 11 points year-over-year to 60%, in line with our long-term goal.  We continue to return cash to shareholders in Q3, first by increasing our regular dividend by 14%, and second, by repurchasing almost 700,000 shares for $57 million in the quarter, plus another 300,000 shares for $22 million in the month of October. That brings our year-to-date return of capital through October 31 to over $360 million, including a reduction of almost 13% of the outstanding shares from the beginning of this year. Over the past decade, we've been responsible stewards by returning over $1.5 billion in cash to shareholders.  Looking forward to Q4, I'll remind you that our Q4 revenue guidance is based off of contracts signed to-date. Since the timing of license agreements is inherently uncertain. On that basis, we expect Q4 recurring revenues will be around $104 million, with operating expenses of about $78 million, driving an adjusted EBITDA margin of about 49%. Furthermore, we expect to continue to repurchase stock, and finally, we expect GAAP diluted earnings per share of $0.70 to $0.80.  Longer term, our goal remains to achieve and sustain a 60% adjusted EBITDA margin on $650 million of annual recurring revenue from device licenses, with additional upside from licensing new products and services. With that, I'll turn it back to Raiford. 
Raiford Garrabrant : Thanks, Rich. At this point operator, we are ready to take questions. 
Operator: Thank you. [Operator Instructions]. And for your first question, it comes from the line of Scott Searle from ROTH MKM. Scott, your line is open. Please ask your question. 
Scott Searle: Hey, good morning. Thanks for taking my questions, guys. Hey, nice job on the quarter. Rich, quickly, I'm not sure if I heard a mix between fixed fee and royalty on the recurring side. I'd love to have a little bit of visibility there. I wanted to clarify Lenovo now, everything has been settled, Liren. I know there were some outstanding issues and concerns related to ongoing royalty rates in smartphones, but it sounds like that's been wrapped up now with the HEVC latest agreement with them on that front.  And also to clarify as well, on the Samsung front for arbitration, while the timeline for final determination sounds like it's the end of next year, I'm interpreting this that there are no issues in terms of the baseline amount of ongoing payments that you would receive, which was consistent with the prior agreement. Is that correct? 
Rich Brezski: Yeah. So, Scott, let me start on your first question. You asked about fixed fee revenue, and we do disclose in our metrics, I'll remind you that, and I'll tell you what the figure is for Q3, fixed fee revenue as a percentage of recurring revenue is 88%. 
Scott Searle : Perfect.
Liren Chen : Yeah, hey Scott, it's Liren. Let me take on the Lenovo question. And the new deal we have announced today is covering the HEVC technology that's applied to both our PC and our smartphone. As you remember, we have the court decision from UK court covering the cellular technology, that's 3G, 4G and 5G. That agreement, as by the court decision, goes until end of this year, December 31, 2023.  In the meantime, we are also pursuing values that they have benefited from other technologies in our portfolio, such as Wi-Fi patents, as well as valuable implementation patent technology. So those are quite a few moving parts, but we are really pleased by the new deal we have signed with them. So on the Samsung arbitration, what we have disclosed here – frankly, we touched on this issue in the last learning call also. We have the three panel arbitrators already assembled, and they had their case management meeting. So therefore, the hearing has already been set for summer of next year, 2024. And both parties will be working producing quite a few documents to the panel arbitrators and they will consider.  So after the hearing, we do expect a decision before end of next year. So we are absolutely on pace, and I'll let Rich comment on the revenue recognition just a little bit. 
Rich Brezski: Yeah, and I'm sorry, Scott, could you just repeat that, the last part of your question on the rev-rec? 
Scott Searle: No, I think you answered all three parts of that. Then I would add maybe the following, and then I'll get back in the queue.  It looks like CE is starting to accelerate. You had good results this quarter. You've been continuing to build some momentum. And Liren, I wonder if you could qualitatively talk about how that pipeline is ramping up. I know you've talked about a bigger number of where Technicolor was bought that was $150 million or so. We're now at a $60 million plus run rate. Is this the point where we start to see that accelerating?  And also a clarification. On the streaming opportunity for you guys, using your HEVC patents and otherwise, on the video services model. I'm not sure if you made any comments on that earlier. I thought one of the license agreements referred to cloud. And I'm not sure if you're referring kind of indirectly to that opportunity in licensing agreement or opportunity going forward with streaming providers or if you could provide some color and timeline related to that. Thanks. 
Liren Chen : Yeah. Hey Scott, let me take the question here. So we agree with your assessment that our momentum is accelerating in the CE and other devices. As of now, we remain committed to the over $150 million recurring revenue for the CE and IoT opportunity. But also additional, we will be recognizing case by case a cash-up payment, as we have done in the Lenovo case here. So that will be on top of the $150 million recurring revenue.  Regarding my earlier comments, we have signed two new deals in this quarter. One is for the HEVC deal for Lenovo. The other one is it’s a Humax deal, that's covering set-top boxes. So that's still a device deal and we also put that under the CE program here.  So that's not from the streaming services. But as we have touched on before, we believe our video technology, HEVC and other technology, VVC, and frankly, there's alternative implementations for AV1 VP9s, which we all have very strong IP on. It's very important to the online streaming service. And that's we define as a Greenfield they are working very hard on. We believe that's a very large opportunity, and we will try to get recognizing for the value we have delivered to the industry over time. 
Scott Searle : Great, thanks so much. I'll get back in the queue. 
Operator: All right, one moment for your next question. And for your next question, it comes from the line of Tal Liani from Bank of America. Tal, your line is open. Please ask your question. 
Tal Liani : Yes, I have. The first question is about financials. Can you elaborate on the EBITDA margins this quarter? Also, your free cash flow generation strongly outperformed our numbers. Can you touch on the drivers there? And lastly, just on the smartphone strength in the quarter, would you mind to summarize again and double-click on what drove the strength? Thank you. 
Rich Brezski: Yeah, so I can take those, Tal. So, and there's some related, a related thread to all three aspects of your question. The first on the EBITDA margins, it really speaks to the operating leverage that exists within our business.  So, as we drive performance on the top line, as we did this quarter with the new licenses Liren spoke about, principally the Lenovo HEVC agreement, there's not really any incremental cost associated with that. So that's a bottom line drop and drives up that margin. That's why we say long-term at $650 million, we think we can get to, maintain a 60% margin because there's just not as much expense growth necessary to achieve that in our view.  Free cash flow, there it's a little bit, the margin speaks to kind of, or correlates with cash flow over time. But in the quarter, we coming in, we expected a large customer receipt. And I think we referred to that in our guidance at the beginning of the year or the beginning of the quarter.  And then also, with some of the agreements we signed, we're able to increase the cash receipts in the quarter as well. So, also in part related to the new agreements. And the Lenovo HEVC deal, it is video codec, but it doesn't apply only to consumer electronics. That also applies to smartphone. So, there is an allocation there to smartphone.  Got it, thank you. 
Operator: One moment for your next question. And for the next question, it comes from the line of Mark Lipacis from Jefferies. Your line is open, please ask your question. 
Mark Lipacis : Hi, thanks for taking my questions. On the licensing, the streaming IP, the cloud service providers, can you – can you talk about, like, how does that play out? Is there an ability to quantify the size of the market or the timing? And where would that – would that be a new category for you? Or is that in CE and IoT? Or is that in a different category as you play, as that plays out? And then I had a follow-up, yes. 
Liren Chen : Yes, hey, Mark, this is Liren. So, we mentioned in the prior call and we highlight this call. So, we believe the streaming and online services, cloud services, is a very large Greenfield for our company. And we have been working on it for, frankly, multiple years now. And remember, with our Technicolor acquisition, as well as the combining innovation we have done with InterDigital's engineers. We believe we have one of the largest and probably one of the most valuable Kodak IP holding in the industry, and we continue to drive the standard development going forward.  So, we believe we are really well positioned in that field. Regarding the size opportunity here, we, obviously, the overall TAM of the market is fairly well known, and based on third-party report, that market for the streaming service alone will be, by 2027, to be about the same size as the overall smartphone industry in terms of annual revenue.  We currently do not have a set number for our revenue target yet primarily, because we want to, frankly, get more clarity on licensing progress before we put a target on it. And once we make more progress, and over time – by the way, this is a brand new program, so we do believe it will take time to establish and grow. This will be a new category for us. This is not part of the CE program. The CE and IoT program is still focusing on the device side. 
Rich Brezski: And I'll just add that, therefore, the $650 million device target does not include this opportunity. That's additive to the $650 million. 
Mark Lipacis : All right, that's very helpful. And a follow-up, if I may, on the -- just to talk about capital allocation, nice to see that the dividend bump and the buybacks. Rich, can you talk about the cash that you want to have on your balance sheet or like to have on the balance sheet to run the business? And can you talk about how you think about M&A going forward from here? 
Rich Brezski: Yeah, so Mark, a good question. We started the year with over a billion in cash. We've returned $360 million to shareholders, and we're still sitting here with over $1 billion in cash, because of the cash flow generation of the business, which is a great thing, but still more cash than we need. So we continue to be aggressive in returning capital to shareholders, provide an update through the end of October and I expect that to be the case going forward.  At this point, we're under $80 million on the authorization, but that's something, the authorization and buybacks and the dividend, it's something we're looking at every quarter read out. So there's a lot of room, I think, to continue to return capital.  With respect to M&A, we're always looking for opportunities, but because of the very strong in-house research capabilities we have in cellular, in Wi-Fi, in video, it's not something that our business model, all aspects and all categories, including the OTT, it's not something that we feel we're dependent on. So it's more opportunistic.
Mark Lipacis : Yeah, got you. And a final question, if I may. Liren, you talked about being cited by, was it LexisNexis as a top 5G IP player? Can you talk, what is the significance of that report? Is that considered like an authority in the industry? Is that something you now can cite during negotiations or during litigation? Is that like a piece of evidence of litigation? Can you just talk about the significance of that report? Thank you. 
Liren Chen : Yes, yes. Hey, Mark. Yes, those are new report from LexisNexis, which is a quite comprehensive report. What they did do is they look at both the quality, as well as the quantity and by how many families, how many patents people have. That's this close to 5G standard process. And they have looked at all the patent holders who have declared potential essential patent to 3GPP for 5G. And there's about 130 companies who hold those patents.  And running their algorithm, they ranked InterDigital as one of the top five in the industry, combining those factors. We find this report properly acknowledge our leadership in the industry, even though any such report, there's always frankly different level of nuances people can comment on.  And as far as usefulness for this report, we do frankly demonstrate the overall value to our licensees during negotiation. And we do it in frankly a number of different ways. We demonstrate to them our pedigree research. We demonstrate the overall portfolio. We give them some third-party report, but also we frankly, if they wanted to get much deeper in terms of where's proof of use type of report.  And regarding litigations, and this is also one of the things people can point to, but frankly, we also bring much more in-depth evidence in those process. 
Mark Lipacis : Very helpful. Thank you very much. 
Liren Chen : Of course. 
Operator: Thank you. And for your next question, it comes from the line of Anja Soderstrom from Sidoti. Anja, your line is open. Please ask your question. 
Anja Soderstrom : Hi, and thank you for taking my questions. Most of them have been answered already, but I'm just curious in terms of the other opportunity. You noted that you're a founding member now of Avanci. Where are you in terms of that opportunity and how do you expect that to build up? 
Liren Chen : Okay. Hey Anja and good morning. So for the automobile, we are – by the way, we were a founding member for the 4G Avanci program, and we are quite excited to see how that program has developed over the years. And as we reported in the prior quarter, they have more than 80% of the kinetic car licensed under 4G.  So now the 5G program has been launched and we are equally excited to be a founding member for 5G program. So as I said in my prepared remark, the 5G value for kinetic cars is significantly higher than 4G. So therefore the overall rate is about doubling the 4G rate. So we benefit from essentially a higher value per device regarding that dynamic.  But keep in mind that as of now, about half the cars sold every year are connected, but that's scheduled to increase as more and more new cars will be all connected. So therefore that – I believe the connectivity portion of the 4G is growing roughly 15% year-over-year. And then the 5G adoption of the kinetic car will also increase. So compounding those two parameters, we feel that give us a very good driving factor over probably the next five to 10 years. 
Anja Soderstrom : Okay, thank you. That was all for me. 
Liren Chen : Thank you. 
Operator: All right, thank you. And for your next question, it comes from the line of Arjun Bhatia from William Blair. Arjun, your line is open. Please ask your question. 
Arjun Bhatia : Yep. Hey, thanks guys. Liren, maybe for you, the Lenovo deal is interesting, because you have video for both smartphone and CE. When you look at your smartphone contracts, what kind of room is there to do a cross sell per se to get some of those smartphone agreements to sign on for CE, IoT as well? I imagine a lot of those customers have both in their portfolio, but where are you in discussions of that and getting those potential licensing agreements signed? 
Liren Chen : Yeah, so Arjun, yeah, let me comment on what you said the first part. Yeah, so we signed the Lenovo deal for the HEVC technology that apply both to their CE, which is primarily their PC, as well as the smartphone.  So regarding other vendors here, it's somewhat a case-by-case space because some of the vendors, frankly, have primarily smartphone devices. Then in those contexts here, we will try to get valuation both for our cellular technology as well as our HEVC technology on the smartphone.  But there may be other vendors who have a mix of different products, and some of them may be cellular-based, some of them may be frankly video without cellular, and some of them may be Wi-Fi connected for IoT. So when we negotiate, we have to try to bring all those assets and highlight how they are benefiting from all of them and try to get paid, frankly, most of our technology. 
Arjun Bhatia : Okay, got it. And the settlement with Lenovo this quarter, for the HEVC, does that have any impact on the other outstanding litigation that you have going with them? 
Liren Chen : Yeah, so we mentioned as part of the HEVC license, we have dismissed the HEVC-related litigation. However, we do have other pending litigation with them, as we have disclosed in our 10-Q. And namely, there's a ITC case that filed covering our implementation patterns, and there's, frankly, cases pending in Germany that will kick in after the current cellular license expires under the UK court decision. So that's sort of related to Lenovo.  But I do want to add one more thing here. Because we have established a value for our HEVC patent portfolio, we believe that's very useful when we negotiate with other licensees on both the CE and the mobile side. We also believe that we’ll have a beneficial effect as far as our sense on arbitration. 
Rich Brezski: Okay. And Arjun, I'll just add as a reminder that on the UK judgment that we received over the first half of this year, we are conservatively recognizing only a portion of that revenue, and have deferred the rest pending the outcome of the appeal, which is, we noted in the Q, has been scheduled for June of ‘24. So we'd expect that to be resolved sometime in the second half of ‘24. 
Arjun Bhatia : Okay, got it, thanks. And just last one for me, Liren, can you just talk a little bit about how you're thinking about the smartphone opportunity with some of the other Chinese manufacturers, Vivo, Oppo, etcetera? Is that a near-term kind of catalyst or something that you're looking at a couple years out? 
Liren Chen : Yeah. So we are continuing to make a lot of progress on those negotiations. As we have disclosed before, the largest unlicensed smartphone vendors are Oppo, Vivo, and Lenovo. We talked a lot about Lenovo on this particular call here, but we are also making progress on the litigation front with Oppo in multiple jurisdictions, and we have disclosed the details in our 10-Q filing.  Regarding Vivo, we continue to negotiate with them. As we said multiple times, we always prefer bilateral negotiation. And as of now, we have not filed any lawsuits against them yet. 
Arjun Bhatia : All right, thank you, guys. 
Operator: All right, thank you. And we have a follow-up question coming from the line of Scott Searle. Your line is open. Please go ahead. 
Scott Searle : Hey, thanks. Two quick follow-ups. Rich, on the litigation front, it was a little elevated again this quarter, you got a lot going on. It seems like implied in the guidance for the fourth quarter that continues. But now with Lenovo totally resolved, do we expect that to start to come down in 2024?  And Liren, on the Avanci front, now that you're throwing your 5G intellectual property into the pool for autos, I'm wondering what your plan is for the rest of the IoT world? Will you be looking to use and license that directly or is that going to be contributed to the Avanci pool as well? Thanks. 
Rich Brezski: Yeah, so Scott, I'll start with the litigation question. Yeah, so it was elevated a little bit in the quarter as we had some activity and we moved forward on the Samsung arbitration. The good thing about the arbitration is it's kind of ring-fenced and doesn't kind of mushroom into other cases and jurisdictions, but – and it's a little bit accelerated compared to other venues. But, both now and going forward into 2024, that'll continue to be a theme.  We also had, of course, some action in the Lenovo HEVC arena in the quarter as that got resolved, but have other matters with Lenovo. So, I'm not going to make a call at this point on ‘24. Just we'll let it stand with the Q4 OpEx guidance. 
Liren Chen : Yeah. Hey, Scott, regarding the IoT licensing, we frankly are pursuing both direct licensing model as well as pool model. It depends on use case because as we discussed before, IoT is really a collection of different use cases here. So for some of the more direct, higher-value, higher-dollar negotiations, we are preference generally through direct negotiation, but we are open for the pool model also in different use cases. 
Scott Searle : Great. Thanks.
Operator: All right. So presenters, I don't see any further questions, and I would like to turn the conference back over to Liren Chen, your Chief Executive Officer, for closing remarks. 
Liren Chen : Thank you, operator. Before we close, I'd like to thank all our employees for their dedication and contribution to InterDigital, as well as our many partners and licensees. Thank you to everyone who joined our call today, and we look forward to updating you on our progress next quarter. 
Operator: Thank you. And this concludes today's conference call. Thank you for participating, and you may now disconnect.